Operator: : Good morning. My name is Sabrina, and I will be your conference operator today. At this time, I would like to welcome everyone to the Royal Caribbean Cruises Ltd. Third Quarter Earnings Conference Call. [Operator Instructions] I would now like to turn the conference over to Brian Rice. Please go ahead, sir.
Brian J. Rice: : Thank you, Sabrina, and good morning, everyone. I'd like to thank you for joining us today for our third quarter earnings call. Joining me here in Miami are Richard Fain, our Chairman and Chief Executive Officer; Adam Goldstein, President and CEO of Royal Caribbean International; and Ian Bailey, our Vice President of Investor Relations. During this call, we will be referring to a few slides, which we have posted on our investor website, www.rclinvestor.com. Before we get started, I would like to refer you to our notice about forward-looking statements which is on our first slide. During this call, we will be making comments that are forward-looking. These statements do not guarantee future performance and do involve risks and uncertainty. Examples are described in our SEC filings and other disclosures. Additionally, we will be discussing certain financial measures, which are non-GAAP as defined, and a reconciliation of these items can be found on our website. Richard will begin with his comments. I will follow with a brief recap of our results and give an update on the booking environment and our forward guidance. Adam will talk about our brands, and then we'll be happy to open the call to your questions. Richard?
Richard D. Fain: : Thanks, Brian, and thank you all for joining us today. I always enjoy this opportunity to provide an update on our business. And as you can see from our release, we have a lot of good things to talk about today. I'll start with the third quarter results, which were quite a bit better than we had anticipated when we last gave guidance in July. The strength of these quarterly results is particularly satisfying when you consider that we are still navigating an environment overshadowed by severe political and economic turmoil and the tail of the Costa Concordia effect. Fuel and foreign exchange provided a net benefit of about $0.03, and we were a few cents favorable on interest costs. But the real driver of our beat was the operating performance of the business. Revenues, especially for close-in bookings, were strong, and we exceeded our market forecast in each of our major markets, including Europe. The European market though continues to be the most puzzling market we're facing. The impact of the tragedy in Italy was obviously centered in Europe. Now that impact does continue to wane, but some of the effects still linger, and we continue to learn and be proactive in trying to recover from it. Meanwhile, the financial malaise that covers Europe remains our biggest challenge there. Southern Europe and especially Spain is weighted down by austerity and uncertainty. Actually, it's rather surprising that in light of all this, we've done so well against all these pressures. On the cost front, we've also remained focused on creating value wherever we can find it. For the year, I am pleased that on a like-for-like basis, we continue to expect the net cruise costs, excluding fuel, will increase less than 1%. Overall, it's gratifying to be increasing our full year guidance by $0.15. I think this demonstrates, in a very tangible way, the upside potential in our company when things start to go right. Looking forward, we are encouraged by what we see in our bookings. Now, of course you know, it's hard to make direct comparisons because a year ago at this time, there was no Costa Concordia effect. We were seeing good demand across the board and we were looking forward to a strong wave period. We also were not looking at the kind of economic malaise in Europe that we are seeing -- we did see. Today, we are again seeing solid early bookings, but we expect that this trend won't be hit with the same kind of issues as last year. That gives us some real comfort that we will do well compared to a 2012 wave period that faced such troubled waters. As I've said before, if this is how we're doing facing such headwinds, imagine how we'll do in a normal year. A few weeks ago, we took delivery of the fifth and the final ship in the Solstice Class, the Celebrity Reflection. The ship is gorgeous and it's actually slightly larger than the other ships in the class at just over 3,000 berths. We achieved in the increased berth count without expanding the hull by adding another guest cabin deck to the existing Solstice platform, an action that improves the flow -- the guest flow onboard, while simultaneously improving our returns from the vessel. Celebrity Reflection will be home ported in Miami during the winter and will move to the Med for our summer European season in May. Now I know the capacity additions are a very big topic of focus for the investment community so I will point out that our next new building, Sunshine I, is about 2 years away, and we have no new deliveries at all until that time. We've been very transparent about our desire to slow capacity, and we are actually keeping the demand consistent with those long-standing communications. At the same time, as we have continued to indicate, we have no intention of stagnating and we have been busy evaluating the best investments for 2016 and beyond. As this morning's release indicated, we're in discussions with the shipyards regarding an order for an Oasis-type vessel for delivery in mid to late 2016. We expect that any order would come at a lower cost per berth than either the first 2 vessels, and also that any order would include further advances in energy-efficient design. We don't have a final deal yet but we're excited about the possibilities aligned before us, and we hope to announce something reasonably soon. Given the existing Oasis sisters' positioning, with terrific guest ratings and good financial returns, this is clearly a win for both our investors and our guests. With a mid-year delivery in 2016, our 5-year capacity growth rate would still remain in the low single digits at roughly 3%. Last but not least, I'm sure you also noted that our Board of Directors increased the quarterly dividend by 20% with its last declaration. This action is also aligned with our goal of improving shareholder returns and managing to investment-grade rating in the slower growth environment. With that, it's my pleasure to turn the microphone back to Brian for a more detailed recap on the booking environment and the other financials. Brian?
Brian J. Rice: : Thank you, Richard. On the second slide, we have summarized our performance for the third quarter. We generated net income of $1.68 a share, which was $0.23 above the midpoint of our guidance. Better-than-expected demand drove $0.11 of the improvement, and lower net cruise costs, excluding fuel, contributed another $0.06. About half of the reduced costs or $0.03 was due to timing shift in marketing that will be incurred in the fourth quarter. The remaining $0.06 was a result of lower interest expense and improved foreign exchange rates. Compared to last year, EPS for the quarter was down $0.14. Of this, $0.11 was due to unfavorable foreign exchange, and we had a $0.03 one-time charge this quarter related to the early extinguishment of debt that I will cover later. And while there were other differences between the 2 quarters, on balance, we were able to match last year's earnings despite the effects of the Costa Concordia incident and the continued economic turmoil in Europe. Net yields improved 0.1% on a constant-currency basis and declined 2.4% on an as-reported basis. We did receive the benefit of approximately 200 basis points on a constant-currency basis from changes in deployment in our international distribution systems that we have discussed in the past. Both ticket and onboard revenue came in better than our forecast. Ticket revenues benefited from strong close-in demand on most itineraries, including Europe. But for the quarter, yields in Europe were down 5.4%. Excluding Europe, net ticket yields were up 2.6%, which is quite gratifying, recognizing the ground we needed to make up after a weak wave season. Net onboard revenue yields increased 3.5% for the quarter, and as I mentioned earlier, came in better than our forecast. On the costs side, excluding fuel, our net cruise costs were up 2% on a constant-currency basis and down 0.2% on an as-reported basis. Approximately 220 basis points of the constant-currency increase was due to the structural changes I mentioned previously. Fuel consumption was in line with our guidance and average pricing came in about 0.5% higher. Looking forward, the demand environment has been relatively steady since our last call. Adjusting for remaining inventory, bookings over the last 3 months have been running about 4% ahead of the same period a year ago. As we stated in the press release, we expect yields in the fourth quarter to increase approximately 1%. Currently, the fourth quarter sailings, our load factors are slightly below last year but at slightly higher APDs. Caribbean itineraries, which account for 42% of our inventory in the fourth quarter, are showing the greatest strength. On the other hand, European itineraries, which account for 27% of our capacity, are forecasted to be down slightly. On Slide 3, we have provided a breakdown of our capacity allocations for 2013. Overall, capacity will increase 1.3%, with the largest increases coming in the Asia/Pacific region. Our European exposure is being reduced by approximately 10%, and Europe will now account for 27% of our product offering. Caribbean will remain our largest itinerary group and will account for 44% of our deployment. We believe it is still too early to provide specific guidance for 2013, but we do want to be transparent and share with you what we know so far. On Slide 4, we have graphed our current booked load factors for each of the next 4 quarters and illustrated how each compares to the same point in time last year. And while we have intentionally left the numbers off the axis for competitive reasons, you should be able to get a relative sense of where we stand in the selling cycle for each quarter. At first glance, there doesn't appear to be too much variance between the 2 years, but I would remind you that we are comparing next year to the order book we had before the Costa Concordia incident. At this time a year ago, we were actually quite pleased with where bookings stood. Unfortunately, the incident and the resulting soft wave period quickly changed things. We are encouraged, however, that at this point in time, 2013 as a whole is more sold than any year since 2008. On Slide 5, we have provided the same year-over-year comparison but for booked APDs. On a constant-currency basis, we are slightly ahead of the same time last year in all quarters. And for 2013 quarters, please remember, we are comparing to pre-incident levels. So in a nutshell, the last few months of booking activity have been fairly stable. Our deployment has been adjusted slightly to accommodate for the stronger markets and the early order book for 2013 is encouraging. There are still challenges in the Europe, especially Southern Europe, but solid demand from other regions appears to be more than offsetting this. On Slide 6, you will see our guidance for the fourth quarter. We expect yields to be up approximately 1% on both a constant currency and as-reported basis. As you do your calculations, you may notice that we have effectively lowered our constant-currency yield increase for the fourth quarter by about 1 percentage point. This is mainly due to rounding. However, for the sake of full transparency, I will mention we have slightly lowered our expectations for a few itineraries. The largest change is from lost revenue on an early October sailing in Asia as the result of the Japan-China conflict over the disputed islands in the East China Sea. This was really isolated to one sailing on which we sailed with about a 60% load factor. We do not expect any further impact from the situation as the ship has already left the region for the season and is currently in Australia. Net cruise costs, excluding fuel, are expected to increase approximately 1% on a constant-currency basis and be flat to up 1% on an as-reported basis. The impact on both costs and yields from our deployment and international distribution initiatives is about 100 basis points each in the fourth quarter. Based on current prices, we have included $229 million of fuel expense for the quarter and we are 58% hedged. Earnings per share for the quarter are forecasted to be between a $0.02 loss and an $0.08 profit. On Slide 7, we have provided our guidance for the full year. We expect yields to improve approximately 3% on a constant-currency basis and be up 1% to 2% on an as-reported basis. Excluding the impact of the international distribution and deployment initiatives, constant-currency yields are expected to finish the year flat to up 1%. Net ticket yields for European itineraries are forecasted to finish the year down approximately 4%. Excluding Europe and the impact of the international distribution changes, full year net ticket yields for all other products combined are expected to increase almost 4%. So while Europe has obviously been a point of frustration this year, this clearly proves the benefits of our diversified business model in strong brands. Net cruise costs excluding fuel are expected to increase approximately 4% on a constant-currency basis and between 2% and 3% on an as-reported basis. Of this, approximately 350 basis points are due to the distribution and deployment initiatives. Accordingly, on a like-for-like basis, we are forecasting net cruise costs excluding fuel for the year to be flat to up 1%. Based on today's fuel prices, we have included $910 million in fuel expense for the year. We are now forecasting EPS for the year to be between $1.85 to $1.95. On Slide 8, we have provided a bridge between our July guidance and our current forecast. The midpoint of our July guidance for earnings per share was $1.75 and we have increased that by $0.15. Improved constant-currency revenues and expense reduction each drove about $0.06. The net effect of fuel and foreign exchange rates provides an additional $0.03. Now I'd like to update you on some actions we have taken related to our bond maturities in 2013 and 2014. As you know, we previously increased our revolver capacity by approximately $230 million enclosed on the delayed draw 5-year, EUR 365 million unsecured bank loan facility. Since our last update, we closed on the new $290 million unsecured term loan that matures in February of 2016. With a portion of the additional liquidity, we repurchased approximately 25% of our EUR 1 billion bond that matures in January 2014. While the repurchase will provide us with interest savings going forward, it did result in a loss of $7.5 million for the early extinguishment of debt, which we recognized in the third quarter. Finally, as you know, we have been focused on 3 strategic goals: improving our balance sheet, increasing returns to shareholders and slower prudent growth. Over the last year, we have reduced our debt levels by $1 billion. During the last quarter, we increased our dividend by 20%. And with the Oasis-type order Richard talked about for 2016, our 5-year gross CAGR is just over 3%. I believe this demonstrates how all 3 of these objectives can be delivered in a balanced and effective way. With that, I would now like to turn the call over to Adam for his comments. Adam?
Adam M. Goldstein: : Thank you, Brian, and good morning, everyone. As Brian and Richard have both noted, strongly, bookings bolstered our third quarter performance and we are gratified to have exceeded our expectations of 3 months ago. Although this has been a challenging year, Royal Caribbean International continues to build a leadership position in all major cruise regions of the world. Our clear goal over the next 2 years is to leverage our increasing global presence and our slightly reduced capacity to improve yields. Our program of ship revitalization remains very active and in upcoming months will encompass Enchantment of the Seas, Serenade of the Seas, Legend of the Seas and Brilliance of the Seas. By fall 2013, all but 1 of the 10 ships in either the Vision class or the Radiance class will have been revitalized, strengthening the guest offering and the competitiveness of approximately 30% of our fleet capacity. We are now halfway through our 4-year hiatus in new builds from Allure of the Seas to the first Sunshine ship. We are still a little ways away from disclosing any of the specific features or amenities of Sunshine, but we are excited about our next class of ships and very much look forward to talking about Sunshine in more detail when the time comes next year. As you are all aware, several months ago, Michael Bayley left his position overseeing Royal Caribbean International's operation to replace Dan Hanrahan as President and CEO of Celebrity Cruises. The company immediately tapped into the talent development and succession planning work we have engaged in over last few years to fill internally the senior positions that came open as a consequence of Michael's promotion. This occurred both within and across the branded organization. As we move forward, we are very fortunate to have such an array of talents. In closing, I would like to call attention once more to the steadfast support we and the industry have received throughout 2012 from the travel agency distribution system. Travel agents around the world continue to believe in the vacations we delivered to their clients, continue to train and educate themselves on our products and services and continue to communicate the fantastic value that our cruises represent in these economically challenged times. We sincerely appreciate their support. Brian? [p id="21752398" name="Brian Rice" type="E" /> Thank you, Adam. We'll now open the call for your questions. [Operator Instructions] Sabrina, we are ready for questions.
Operator: : [Operator Instructions] Your first question comes from the lines of Greg Badishkanian with Citigroup.
Gregory R. Badishkanian - Citigroup Inc, Research Division: : Just a 2-part question on 2013. So as your occupancy and pricing up for 2013 and obviously, you're up against very difficult comparisons, how would you expect that to change once you lap the Concordia accident and presumably face easier comparisons?
Richard D. Fain: : Greg, I think what we're hoping for, and we're certainly seeing in the numbers, is a much more normalized year. And I think we obviously had a very soft wave season and kind of fell back. As you may recall, we did say, back in January, that when we put together our operating plans at the end of the fourth quarter of 2011 we were anticipating kind of mid-single digit yield improvement. And as I recall, we came out with a range of -- I think it was 2% to 5% when we did the January call. So we obviously felt quite a big hit from that. We're -- it -- all signs right now point toward a more normal year. And as you stated, the comparables clearly become a lot easier beginning the second week in January.
Gregory R. Badishkanian - Citigroup Inc, Research Division: : Right. Yes, that's helpful. And I remember you had stated earlier in the year something like a 200 basis point impact from the Concordia accident. I believe that's around the impact for 2012. And I'm wondering for 2013, do you think you'll -- how much of that do you think you would recoup this year? In 2013, how much would you recoup?
Richard D. Fain: : Well, it's tough to say. We did say back in January that we were -- we talked in the range of around 200 basis points. I just actually pulled out a sheet. And the midpoint of our guidance in February was 3%. We raised that in April mainly due to the tour company. And then as we started to see Europe deteriorated, we actually lowered the guidance back by 100 basis points. And today, we've effectively raised it back to the original forecast of around 3%. Difficult for us to really pinpoint how much of that was due to the incident, how much of that was due to a softer European economy.
Operator: : Your next question comes from the line of Felicia Hendrix with Barclays.
Felicia R. Hendrix - Barclays Capital, Research Division: : Wondering -- if we talked -- looked at third quarter for a moment, certainly, it's the least booked and therefore, you had the least visibility. But just wondering if you could help us get your early read on the U.S.-sourced business for European cruises and if you have any sense of how the European-sourced business is in that quarter. I know we have a bit of an easy comps situation versus last year, but just wondering if you can tell us what the early trends look like for that. And then also for your European deployment in 2013, if you could just provide for us how it looks in terms of the Eastern Med and Western Med, that would be great.
Brian J. Rice: : Felicia, as it relates to the third quarter, particularly Europe as you mentioned, it's very, very early, and you can see on the graph that there's not a substantial amount of business booked. I can comment on a couple of ways. We are seeing a much more normalized booking curve from the North American market. Europe, in particular Southern Europe, has had a contracted booking curve. Northern Europe has actually had a pretty normal booking curve as we look out. So it's kind of hard to comment on a market-by-market basis. I can tell you overall that Europe is shaping up reasonably well, particularly compared to what will become easier comps. At this point in time, our APDs are running better than they were a year ago but load factors are slightly behind. I think it's way too early to make a call on Europe. And fortunately, and I think Adam can build on this, we have brands that have the flexibility to be able to source from different markets.
Adam M. Goldstein: : Thanks, Brian. Yes, Felicia, one of the things that I can comment about as far as the European season that just ended without at first knowing what -- exactly what its implications are for next year is that we really were interestingly successful in attracting guests from all over the world to our European cruises. In other words, one of the ways in which we were able to respond and achieve load factor in a difficult European trading season in 2012 was not only by working hard marketing-wise in Europe and trying to attract North Americans to go to Europe, but we also had a fair amount of success getting people from Latin America and Asia to go to Europe to take those cruises. So it really was a global response to the challenges of Europe. On the capacity side, for next year, we continue to grow in Northern Europe. But I think overall, we're down about 10% as a company, '13 over '12, with a relatively larger decline in the Western Mediterranean cruises and a little bit less in the East [ph].
Brian J. Rice: : Felicia, I'll give you the breakout. Of the 27% that is Europe, the Western Med is 13%, the Eastern Med is 8%, and the Northern Europe is 6%. The Western Med is declining by 20%. The Eastern Med, which we had taken some down in 2012, as you may recall, was down another 9%. And the Baltic is up 28%.
Operator: : Our next question comes from the line of Tim Conder with Wells Fargo Securities.
Timothy A. Conder - Wells Fargo Securities, LLC, Research Division: : On the onboard spending, Brian, you said that obviously, both -- and that the tickets were both tracking modestly ahead of expectations, especially the closed-in ticketing. But on the onboard, just wondering if you could give a little bit of color by Europe, North America and say, maybe rest of the world, how you saw that unfold.
Adam M. Goldstein: : Tim, it's Adam. Given -- first of all, given that a lot of our capacity in Q3 was in Europe, then clearly Europe contributed to the OBR performance. It also, I should say, was manifested in both of our big brands, Royal Caribbean and Celebrity. Both had relatively strong [ph] revenue performance. And it varied -- in terms of the revenue streams, it varied quite a bit from brand to brand, ship to ship and region to region. But I would say on an overall basis, we saw some strength in gaming, in retail and in short cruises.
Timothy A. Conder - Wells Fargo Securities, LLC, Research Division: : Okay. And then you really didn't call out this time that much. You've been changing some itineraries over time here. And you did not call that out this time as you have in the past as how that could impact fuel consumption year-over-year. Just maybe give us an update on that. Do you see -- looking into '13, do you see that as an incremental headwind? Or have you kind of now anniversaried with the itinerary changes and now you'll be able to sort of hone that and give a little bit of efficiencies out of fuel consumption on some of the newer developmental itineraries?
Adam M. Goldstein: : Well, we got, Tim, obviously fuel efficiencies coming from the new ships coming in. All the ships that have been coming into the Celebrity brand and the Solstice Class are wonderfully fuel-efficient ships. In terms of geography, as our ships continue to shift around the world, looking at 2013, there might be very slight upward pressure in terms of the itineraries on our overall fuel consumption. But I think in general, you can say we're in a fairly stable environment.
Operator: : Your next question comes from the line of Steven Wieczynski with Stifel Nicolaus.
Steven M. Wieczynski - Stifel, Nicolaus & Co., Inc., Research Division: : So Brian, I guess, first of all, with the -- with that $0.06 better cost that you guys pulled out in the quarter, I know you said $0.03 would be rolled over to the fourth quarter. But that other $0.03, is that -- was that kind of broad-based? Or were there certain buckets that you guys pulled costs out than you expected?
Brian J. Rice: : Actually, I think it was pretty much across the board. We've been very focused on spend and it's a little bit here and a little bit there. I don't there's any one particular area that we would call out. I do -- we, as I mentioned, we have shifted some marketing that we expect to spend more in the fourth quarter.
Steven M. Wieczynski - Stifel, Nicolaus & Co., Inc., Research Division: : Okay. And then again I guess this might be for Richard. I guess once you -- in '14, '15 and then if you ordered the third Oasis-class ship, you'll have a ship in '14, '15, '16, do you guys kind of -- do you have an internal type expectation in terms of where -- how many ships you eventually want to add per year? I know you have a competitor that has basically said, "We would like to build 2 to 3 ships a year." Are you guys on -- going to start to go down a path of maybe 1 per year?
Richard D. Fain: : I don't think we quite think of it in those terms. And it's always difficult because as you know, Steve, the -- 1 ship is not a smooth curve as it ends up being a step curve. I think we are looking at a slower pace than we've had in the past. I think I would have described our thoughts in that range as being more we're looking at a percentage increase. And of course, sometimes we'll do larger ships, sometimes smaller ships. But I don't think we have set a specific number. Obviously, we internally look at some stakes in the ground as to what we might do. But I think the other thing is we're fairly cautious. We don't usually announce ships. Actually, historically, we haven't announced ships until we're -- we've actually signed for them. And I think this was actually slightly unusual because we're so close, and we thought it was appropriate to get this word out as to where we were heading. But no, we don't have a specific in terms of number of ships. We're probably looking at a pace slower than we've seen. And the other thing, I guess, is obviously depends on where the return opportunity comes. Our criteria is we are really -- our real focus is getting our return to our shareholders up. And we think that when we can get a ship at a good price, we may be a little bit more opportunistic or a good opportunity, I think that's the approach. So no, we don't have a specific number that we are shooting for.
Operator: : Our next question comes from the lines of Brian Dobson with Nomura.
Brian H. Dobson - Nomura Securities Co. Ltd., Research Division: : Guys, just 2 quick questions. First, on the ECAs, have you seen any incremental creep in fuel costs due to the change in mix between high and low sulfur fuels? And is there any update on getting any kind of offset credit for the ships you have that are already burning low sulfur fuel 100% of the time? And then, I guess, just turning back to the Oasis-class ship for a second, what kind of returns are you expecting on that ship, given that you'll have a lower per-berth cost than on the original ships?
Adam M. Goldstein: : Brian, on your first question, I should point out that while the ECA came into effect on August 1 of 2012, it isn't really until 2015 that the very much more significant burden of sulfur requirements kicks into effect. So while we are facing a somewhat extra burden of fuel cost because of the first stage of the ECA right now, and that will continue through the end of 2014, it's really not significant in the scheme of things for us and I think for the industry in general. The question is really, what more will happen as we approach 2015? Will the ECA regime stay exactly in effect as it is? Or will there be potentially some adjustments through what they call [ph] a legislative process?
Brian H. Dobson - Nomura Securities Co. Ltd., Research Division: : Right. And then on the Oasis ship?
Richard D. Fain: : Yes on the -- we don't specify a threshold. Obviously, we think, as you pointed out, that with the lower per-berth costs, that helps. Otherwise, I think we would expect comparable kinds of operating performance from it. I think we -- 1 year or 2 ago, I think I thought 2 ships in this category would probably be the right number. But I think they have simply continued to perform so well, and it's shown such solid performance that I think that overcame our reservations.
Operator: : Your next question comes from the line of Vince Kent with Goldman Sachs.
Steven E. Kent - Goldman Sachs Group Inc., Research Division: : I think that's me. It's Steve Kent with Goldman Sachs. Can you just talk about the close-in bookings and what that really means? And what I'm getting at is, is the close-in booking something we're going to have to live with for some period of time? Is it maybe because there's more supply out there, so consumers feel they can wait to book? And maybe just discuss, as you've discussed in the past, the pricing as you get closer to bookings and sort of what dynamic is occurring there on close-in bookings.
Brian J. Rice: : Steve, our revenue management group watches this. As you would probably appreciate at a very granular level. They're looking by market, by booking month, by itinerary, where the pockets of demand came from. You tend to -- I think when you have a strong close-in booking market, it tends to manifest itself more in the third quarter. And I think in this case, it was more the pricing leverage that we were able to realize that I think we were a little bit skeptical given the environment in Europe, in particular that we were going to benefit from that. North America is a fairly normalized booking window right now. So I don't think we're looking at a fundamental new dynamic that we have to learn to operate in. Europe, particularly Southern Europe -- it's really isolated to Southern Europe is a much more close-in booking market. But frankly, it's always been a reasonably close-in booking market. And I think one of the things our revenue management models and our analysts do a real good job of is as we're dealt a hand, we learn to play that hand fairly quickly. And I don't view this as the new environment that we're going to have to deal with, a new structure, if you will.
Operator: : Your next question comes from the line of Assia Georgieva with Infinity Research.
Assia Georgieva: : A couple of questions. What -- how do you feel that Costa's current competitive position is in terms of European sailings in 2013 and some of the exotics?
Adam M. Goldstein: : Assia, it's Adam. I don't think it's fair to comment on one specific competitor. We had a tough season in Europe this year. We talked about it from a number of perspectives. Our capacity as a company in Europe is down 10% for next year. Europe is still, even with its macroeconomic challenges, a huge holiday market, bigger than the United States and full of destinations to bring people to and attractive to customers from all over the world. So our sense is that Europe will remain very interesting to us and to the industry as a cruise market in the years forward. And there will probably be a number of brands leading the way and hopefully, our brands will be foremost among them.
Assia Georgieva: : And as a segue, I guess, into my next question. Airlift has been such a big issue and I've experienced it myself. The cost of it has been up almost 30% year-on-year, it seems like. Could there be any cannibalization, given the strong Caribbean pricing environment and people going into Europe? Or is that still a place where you need to support people so they can actually afford the airlift?
Adam M. Goldstein: : As it relates to Europe, I assume you're talking?
Assia Georgieva: : Yes, yes.
Adam M. Goldstein: : Right. So about 1/4 of the customers on our European cruises came from North America. I had talked on earlier calls about our desire and intention to try to attract more North Americans to go to Europe, given the issues that were occurring in Europe that were affecting Europeans. When we look back at the season that just ended, what actually happened was that we attracted about the number of North Americans that we had originally expected to attract, but we attracted more people from Latin America and Asia, as I mentioned earlier. That kind of filled in the gap. We had -- so in summary, we thought that North Americans would help fill in the gap, but in the end, people from elsewhere in the world helped fill in the gap that occurred from Europe itself.
Assia Georgieva: : And it wasn't out of Europe, which is interesting.
Adam M. Goldstein: : Right. So we had fewer Europeans in the end when the season was said and done than we expected to have at the beginning. That's not surprising. We still were able to source predominately Europeans for the cruises. I'm just talking about what happened on the margin. It was interesting and I think a positive development for our global footprint that we were able to attract people from all over the world to go on those cruises.
Assia Georgieva: : Right. That is very interesting. And can I ask my second question? And maybe Richard can be able to help me out on this one. Shipyards' willingness to negotiate at this point, I imagine those located further south in Europe might be more willing. But the history has been more with the German and Finnish shipyards. So do you see any difference? Do you see any -- much greater willingness to be more flexible?
Richard D. Fain: : Actually it's -- ordering a ship is a very complex process and there are a lot of considerations, including what plans you -- physical drawings you already have and what's your availability of berths is, et cetera. And we are in the midst of a negotiation, and it's not final. So I hope you'll understand if I'm a little cautious about commenting. I think we have an unusual ship in the Oasis category. And it's not an easy vessel to understand and to build, but I think we are working towards the best deal we can. And I think I'm afraid I won't say much more than that on this.
Operator: : Your next question comes from the line of Sharon Zackfia with William Blair.
Sharon Zackfia - William Blair & Company L.L.C., Research Division: : This may or may not be a question you're willing to answer at this point. But your net cruise costs have been really, really well controlled this year if you take out some of the adjustments. And looking forward to 2014 -- I'm sorry, 2013, I'm assuming there's going to be a tick-up there. Could you give any kind of initial thought process on what net cruise cost ex fuel is going to look like next year?
Brian J. Rice: : Sharon, your first instincts were correct. We're not ready to give guidance quite yet. We're working through our plans with various the brands over the next month or so. I will tell you there are -- I think, hopefully, we've demonstrated over last few years that we are very focused on costs. There are a couple of areas that we're watching right now. I think we've talked about on the capital side that we are investing in IT and trying to upgrade a lot of our systems, both shoreside and shipboard. Not all of those expenses are capitalized, so we may feel some pressure there. I think we are looking at some modest increases in insurance, but I think they'll be manageable. We do have a number of revites [ph], as Adam alluded to, over the next year, and there are costs that hit the P&L that come from there. And we're still evaluating things like food, inflation and freight, whatnot. So there are some pockets of pressure but, again, I think we have a pretty disciplined environment here that, hopefully, we can help keep this to a minimum.
Operator: : Your next question comes from the line of Brian Egger the Topeka Capital Markets.
Brian D. Egger - Topeka Capital Markets Inc., Research Division: : Just a general question about, I guess, what I call price elasticity of demand for cruising. And a lot of our impression of late had been that where we've seen rebound in bookings, particularly for the European sector, it's been on the strength of some very tempting pricing impartment, to maybe sell some inventory that wasn't sold right after the Costa Concordia accident. Just curious to know in general whether or not we're beginning to see any signs of underlying demand, irrespective of pricing, start to firm a little bit now that, that accident is behind us? Or whether or not the lingering effect of the euro zone crisis is still keeping that demand picture highly elastic?
Adam M. Goldstein: : Okay. Brian, obviously, we're far away from particularly the next European season and definitely not in a position to comment on that. We can really just look backwards and ask ourselves, "What lessons did we learn from the most unusual season that we just had?" Obviously, there's a relationship between supply and demand and pricing. I think as Brian said with respect to the booking curve, I don't think we're looking at structural change going forward. It seems reasonably clear that 2012 was anomalous. It's likely to have been anomalous for good reason. But if you look back at what we did, we -- after the incident in January, at the beginning, we didn't know exactly what kind of situation we were facing. We probably held on to our pricing in Europe for a little bit longer than, in hindsight, we should have done. And the market turned out to be in a deeper trough than we would have liked, and we ended up doing more discounting in 2012 in Europe than we would have liked. That's been very clear all throughout the year on these calls and in our numbers. But I don't think we've seen anything that changes the long-term fundamentals of supply and demand and price. And, if anything, the continued investments that we're making in our revenue management tools should be very helpful to us going forward.
Operator: : Your next question comes from the line of Erik Kyrkjeeide with Swedbank First Securities.
Stig Erik Kyrkjeeide - First Securities AS, Research Division: : In the quarter, you had previously indicated that you were not scared by the consensus earnings per share estimate of around $3 at the time of entering 2012. And now that you say that you trend slightly ahead of where you were last year. If pricing and load factors are overall the same and they continue to be so over the next couple of months, are there any other items, generally speaking, that we should be aware of? Or does the fuel utility [ph] occurs that will significantly impact a potential rebound to that $3 in earnings per share for next year? Maybe that's for you, Brian.
Brian J. Rice: : Erik, I think we're clearly not prepared to give an EPS guidance for next year. We're even obviously reluctant to talk too specifically about where yields are headed. I think there's a lot of unknown. Europe, we got through this quarter pretty nicely, but Europe is still a very large unknown next year. And as you can see on the graphs we showed, we still have a whole lot of inventory to sell. And 25% of our revenue comes from onboard and we haven't had the first voyage in 2013 yet. So clearly, revenue is the #1 item that we watch on for where we think our performance might be for next year. Fuel is obviously the other -- the second most variable item that is out there. And I think in most of the analyst models that we see out there, those are the 2 that are going to drive the EPS most, the variability.
Richard D. Fain: : And Erik, I don't recall actually your comment about the $3 or any other specific number. But I think we normally don't give guidance and give more harder numbers until we begin to see the wave period start. And as we said earlier in this call, a big uncertainty and a big factor in how the year progresses is really the third quarter because the European summer is so important to our overall results. And because with the economic situation in Europe, we have more uncertainty about how that part of the year will come together than other parts. And that's been a consistent pattern that we've had for many years. So I think we would Adam -- sorry, Brian has pointed out the key variables. But I think we would wait until we begin to see the wave period and that gives us a little better indication of how the year is developing.
Stig Erik Kyrkjeeide - First Securities AS, Research Division: : Okay. Just a second, if I can. Is the visibility now approaching or even touching the levels that we saw prior to the financial crisis? For example, the booking window?
Brian J. Rice: : We -- well, I mentioned in my opening comments that our order book for 2013 is better today. The percentage of our inventory sold is better for 2013 than it's been in any year since 2008. So it is the best visibility we've had since the financial crisis. I think we're still slightly below where we would have been before the financial crisis. The booking windows in most markets, as I mentioned, seems to be normalizing with the exception of Southern Europe at this point.
Operator: : Your next question comes from the line of Robin Farley with UBS.
Robin M. Farley - UBS Investment Bank, Research Division: : I wonder -- there's a lot of moving parts with your guidance. So I just want to confirm if I'm looking at this right, that it looks like most of the kind of 50-basis-point raise in yield guidance is really coming from that kind of deployment change in Asia and the Pullmantur -- the tour change, the distribution change. Is that sort of moving piece, it looks like what's driving the yield revision for the most part?
Brian J. Rice: : Well, the revision from the April guidance -- I'm sorry, the July guidance that we gave is really driven by the third quarter performance, which we commented was pretty much across all the major itinerary groups. And it was just strength in the close-in demand. I mentioned in my comments that we had taken a slight haircut on the constant currency in the fourth quarter, with the largest single issue being that one voyage over in Asia. So I don't think there has been a tremendous amount of change since we gave the July guidance, other than Q3 came in stronger than we thought pretty much across the board.
Robin M. Farley - UBS Investment Bank, Research Division: : But on your change in full year yield guidance, it like looks like, just going through the numbers that you provided in the release, that on a full-year basis, your yields are up because of the deployment and tour, that kind of net piece of the business. Is that correct?
Brian J. Rice: : On a constant-currency basis, it's really being driven by third quarter better onboard revenue, better ticket revenue. There's really nothing more, nothing less to it than that. Asia did well in the third quarter, but so did our other itineraries relative to our July guidance.
Robin M. Farley - UBS Investment Bank, Research Division: : Okay. And then in terms of the commentary about new ship orders, I don't think that you guys talked about TUI, which I think you have an option that expires in the next couple of days. And so I don't know if you have any further thoughts on that.
Richard D. Fain: : You're right. We didn't talk about it specifically. Again, we have followed a pattern normally of not talking about things till we actually confirm them. But you are correct. There is an option for a second BlueMotion vessel in Finland, which expires on October 31. And I don't think we would -- I think consistent with our past practice, we wouldn't comment on that. But we would -- as I say, the only reason we're talking about the Oasis -- the potential Oasis order is because we are so close. That is something that's actually been in the press and we just felt given all the circumstances, we should deviate slightly from our normal practice and -- because we are so close.
Robin M. Farley - UBS Investment Bank, Research Division: : So we'll have to wait 5 days to hear.
Richard D. Fain: : Sorry, Robin. Yes.
Brian J. Rice: : Robin, if I can just also just mention, with TUI, that's not a consolidated entity. We view that as less impactful in terms of our individual performance.
Richard D. Fain: : But I think we can also say, as I think we said on the last call when that question -- similar question was raised, although then it wasn't 5 days away, it was 3 months away. TUI continues to perform very well. TUI Cruises has just had a very strong performance, both in terms of guest satisfaction and in terms of results. And so we're certainly happy about the BlueMotion 1 order that we have. And you can draw whatever conclusions you wish about BlueMotion 2 5 days in advance.
Operator: : Your next question comes from the line of Ian Rennardson for Jefferies.
Ian Rennardson - Jefferies & Company, Inc., Research Division: : 2 questions for you, please. You talked earlier about not looking at a specific number of ships, but thinking about a percentage in terms of the capacity increase, and talked about a 3% for the 5-year CAGR. Is that sort of the number we should work with sort of as an ongoing basis? Second question, you went out of your way to thank the travel agents for their support. What percentage of your sales is now through travel agents? And how is that changing? And how do you expect it to change?
Richard D. Fain: : I'll answer the first part of that then I'll ask Adam to address the second. Although I'm glad you pointed it out because the travel agents are so key to our business. I think it's appropriate for us to continue to express our appreciation for what they do for us everyday. On the numbers, as I said -- as you pointed out, I said that we focus more on percentages rather than individual ships. But I also would like to emphasize that we look opportunistically for what's happening in the market, both the market for ships and the market for the product that we are using those ships. And so we do not have a threshold number that we're looking for x percent. We are clearly looking for lower percentage increases than we have historically. But we -- we are not in a position to quantify that more specifically. I think I'll ask Adam to answer the other question.
Adam M. Goldstein: : Yes, Ian, the approximate percentage of our business that is coming directly to us and not through an intermediary, is high-teens to 20%. And therefore, travel agents clearly are playing a vital role in our success, in our growth and in our ability to reach consumers around the world and we'll continue to do that for the foreseeable future.
Ian Rennardson - Jefferies & Company, Inc., Research Division: : Okay. So no real moves towards the Internet as yet?
Adam M. Goldstein: : The Internet has a small role that it plays in our business for booking. But the much, much more important role of the Internet in our world is for information both for travel agents and consumers, which actually improves the travel agent consumer discussion because the consumers are able to be more educated when they enter into those conversations.
Operator: : The next question comes from the line of James Hardiman with Longbow Research.
James Hardiman - Longbow Research LLC: : I had a question on sort of CapEx timing with the reflection now in the rearview mirror. I think there was expected to be a pretty big drop-off for next year. I think the last number you guided to in terms of CapEx for 2013 was $600 million. I guess my question is twofold. A, does that change at all based on the Oasis announcement for 2016? And either way, should we expect a pretty big drop-off in capital spending from the fourth quarter to the first quarter? And if so, should we just assume that, that's -- we're going to see a commensurate buy-down of your debt? Or are there other cash considerations we should consider?
Richard D. Fain: : No. As we -- as the new ships slow down, there is less CapEx. Those are the big -- by far, the biggest expenditure. There'd be a slight bump up assuming we complete the Oasis order for the installment payments, et cetera. The other big items beyond just sort of normal sort of continuing stuff is the IT revitalization and the revitalizations of the vessels, which is something that we've been doing. And actually is quite -- we're quite excited about, so I'm glad you gave me an opportunity to talk about it. So we're using coined words for them. We are Solsticizing the older ships and Oasis-izing the older ships. I didn't say the words are easy to pronounce. And so those allow us to take some of the new, exciting features from the new ships and bring them to the old. But those are the other big expenditures. And then the numbers that we've given you, incorporate all of those expected expenditures as of today, except Oasis -- the new potential order for Oasis and the BlueMotion 2 vessel is not part of -- because it's not consolidated, would not be included in those numbers.
James Hardiman - Longbow Research LLC: : Great. And just real quick follow-up here. Post your debt repurchase...
Richard D. Fain: : I'm sorry. Brian is correcting me.
Brian J. Rice: : I just -- our contribution of the progress payments for BlueMotion are in our disclosures, but just our part.
James Hardiman - Longbow Research LLC: : Got it. And just on the interest expense side, you bought back a bunch of debt in the quarter. How does that change the interest expense guidance for the year? And how should I just think about the run rate as we look forward to next year?
Brian J. Rice: : There was a onetime charge in the third quarter of about $7.5 million because we bought the bonds back at a premium to par. I think the run rate on a quarterly basis going forward is just about $2 million of benefit from what we bought down. With that, we'll thank everybody for joining us today. If you have any follow-up questions, Ian will be around to take your calls. And we appreciate you joining us today and wish you a great day. Thank you.
Operator: : This does conclude today's conference call. You may now disconnect.